Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today’s Super Micro Computer Incorporated Fourth Quarter and Full Fiscal 2013 Conference Call. The company's news release issued earlier today is available from its website at www.supermicro.com. In addition, during today's call, the company will refer to a slide presentation that has been made available to participants which can be accessed in a downloadable PDF format on its website at www.supermicro.com, in the Investor Relations section under the Events and Presentations tab. During the company's presentation, all participants will be in a listen-only-mode. Afterwards, securities analysts and institutional portfolio managers will be invited to participate in a question and answer session, but the entire call is open to all participants on a listen-only basis. As a reminder, this call is being recorded Tuesday, August 6, 2013. A replay of the call will be accessible until midnight August 20th by dialing 1-877-870-5176 and entering conference ID number 1121163. International callers should dial 1-858-384-5517. With us today are Charles Liang, Chairman and Chief Executive Officer, Howard Hideshima, Chief Financial Officer and Perry Hayes, Senior Vice President, Investor Relations. And now, I'd like to turn the conference over to Mr. Hayes. Mr. Hayes, please go ahead, sir.
Perry G. Hayes: Good afternoon and thank you for attending Super Micro's conference call and financial results for the fourth quarter and full fiscal year 2013, which ended June 30th, 2013. By now, you should have received a copy of today's news release that was distributed after close of regular trading and is available on the company's website. As a reminder, during today’s call the company will refer to a presentation that is available to participants in the Investor Relations section of the company's website under the Events and Presentations tab. Please turn to slide two. Before we start, I’ll remind you that our remarks include forward-looking statements. There are a number of risk factors that could cause Super Micro’s future results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2012 and our other SEC filings. All of these documents are available from Investor Relations page of Super Micro’s website at www.supermicro.com. We assume no obligation to update any forward-looking statements. Most of today’s presentation will refer to non-GAAP financial results and outlooks. For an explanation of our non-GAAP financial measures, please refer to slide three of this presentation or to our press release published earlier today. In addition a reconciliation of GAAP to non-GAAP results is contained in today’s press release and in the supplemental information attached to today’s presentation. I'll now turn the call over to Charles Liang, Chairman and Chief Executive Officer.
Charles Liang: Thank you, Perry, and good afternoon everyone. Please turn to slide four. First let me provide you with the highlights of our fourth fiscal quarter. We are pleased that our fourth quarter revenue was $322.3 million. It's 15.9% higher quarter-over-quarter and 16.8% higher year-over-year. This result was a record high for Super Micro. Non-GAAP net income was $11.3 million or 12.6% higher quarter-over-quarter and 39.2% higher compared to last year. Super Micro’s non-GAAP earnings per share was $0.26 per diluted share compared to $0.23 last quarter, or $0.18 last year. Slide five, please. In my comments today, I would like to discuss our results last quarter as well as our achievements during the past fiscal year, before providing some insights on our trend, or upcoming year. Last quarter, we achieved record high revenue which was 16.8% higher than last year. This strong first quarter performance helped to push our full year revenue to $1.16 billion representing 14.7% gross over last year. Although our gross occurred this year is a bit slower than past years, neighbor cities it was about three times higher than the industry average, this way our growth indicates that we continue to take much share consistently. Last quarter, our server systems contributed 47.4% of our total revenue, 43.3% of our business last quarter came from OEMs and direct customers. Moreover internet datacenter account for 9.5% of sales. This result indicated that more and more of our partner choose our complete server solutions due to the overall quality and performance optimization. Geographically, revenue in North America was 56.2%, Europe was 23% and Asia was 18.6% of total sales. Our growth in North America continue to be strong and very consistent as we broaden our space in key regions in U.S. and especially the east coast. Europe had been growing slowly and what’s good overall considering the economic activity over the past year. In China business is growing strongly, while the rest of Asia has stable growth. Last quarter we saw strong growth from several product lines on a year-to-year basis. Storage remains our auditing product in the category, which the gross was up to 46%, rate were very strong last quarter and were 179% higher, GPU and Xeon Phi solutions were also strong and continue to be a very key product line with gross over 30% higher. New product such as MicroCloud grew 100% and [indiscernible]. Finally, our switch product seen the demands and were139% higher. Our [indiscernible] server product also grew strongly last quarter led by our FatTwin products. Our twin solution were up 200% year-over-year, this new product is quickly ramping as many of our customers recognize that many applications can be based optimized on FatTwin solutions. Last quarter, we also launched the new house wear UP server board and server solution. Earlier seedings of our next generation heavy bridge DT and X10 UP is in progress as well. Our target is again being the first to market with product IX featuring these new processes. Slide six please, looking back over fiscal 2013, we have many product highlights, one of the most significant highlights was the launch of our FatTwin product IX, we launched FatTwin about nine months ago and today we have 15 SKUs and growing, each year our gross SKUs are optimized for that specific application such as web hosting, storage, HPC or even Hadoop. With the detail storage density, power efficiency, performance and cost. Now FatTwin IX had been learning quickly and in the first quarter it really broke out by growing 179% sequentially. Besides the FatTwin we have many other key products that performs well in their respective body coast, for storage the key products in the SC A47B which features how swap have ability of up to 72 3.5 inch hard drive in for you, the demand for high density storage have been very high and we will introduce yet even higher density storage. For HPC Super Macro continue to be a major player in accessories, computing, featuring of flow IX of system they optimize it for GPU, Xeon 5 product. For Cloud, our MicroCloud product IX enjoys a great success amongst customers with it 3U, a node, clear node and 24 node configurations. Higher node densities are cognizant with higher performance in the regency based on the new house wheel and Abington processes. AS for networking we also launched several new level two, three NGPT and SOP processing solution, they provide coast effective, low density, connectivity options. This past year we also launched our brand new Super Micro’s server, manage MUTT server, with many years of development and optimization, our server allows IT managers to remotely manage service across the globe with no impact to customer applications, it also integrates easily with existing in [indiscernible] cost effectively. Last year our server, there have been launch in good IPMI utilities, Super Taco five and Super Micro Power Manager, upgrade the manager and command manager. Although fiscal 2013 was a challenging year in term of IT spending, hard driver issue at the beginning of the year and continuing economic of weakness in Europe. Super Micro performed strongly and outgrew the industry in our competition with our great products. Also with our first full year of operation in our Taiwan facility and our efforts, our Asia region grew approximately 24% year-over-year driven by strong growth in China. These efforts enable us to take much share with all of our product line and build our foundation with strong product innovation and enhance infrastructure. Looking ahead to fiscal 2014 Super Micro as the foundation has never been stronger and our operation has never been greater. We believe, we can continue the momentum and grow at a pace that is several times faster than the industry. With hot wheel and the commission that we reach new product launch, as well as our much more efficient global operation today, Super Micro will again lead the industry with the advent of server and solutions, there the IT industry demands. For more specifics on the first quarter, let me turn it over to Howard.
Howard Hideshima: Thank you, Charles. Thank you. Good afternoon everyone. I will focus my remarks on earnings, gross margins, operating expenses and similar items on a non-GAAP basis which reflects adjustment to exclude stock compensation expenses. Reconciliation of GAAP to non-GAAP is included in the financial statements of the company in today’s Earnings Release, and in the supplemental details in the slide presentation accompanying this conference call. Let me begin with the review of the fourth quarter income statement. Please turn to Slide Seven. Revenues with a record $322.3 million up 16.8% from the same quarter a year ago and up 15.9%, sequentially. The increase in revenues from last year was primarily due to our high-density energy-efficient storage products. We are confident that our rich platform of storage solutions we’ll be able to take full advantage of this segment’s growth. Also our FatTwin platform continues a strong ramp. It offers a high-density energy-efficient solution geared toward HPC cloud and hybrid market. A sequential increase in revenue from last quarter was primarily due to seasonal strength, especially incubated by the growth in our twin platform such as 2U Twin2 and FatTwin which have been optimized for the HPC Cloud and hybrid market, as well as our Blade products in the HPC market. We also saw a good launch in our UP Haswell based product late in the quarter. We saw strength in all GL with business ending strongly in the month of June and we continue to ramp our Taiwan facility. Slide Eight, Trends and produce mix. A proportion of revenues from services sums for 47.4% of total revenues, which was up from 44.2% the same quarter a year ago, and up from 41.8 % last quarter. ASPs servers was $2,400 per year which is up from $3,000 last year and up from $2,100 last quarter. We shipped approximately 64000 servers in the fourth quarter and 1,270,000 subsystems and accessories. The increase in server units from the prior year and last quarter resulted in part from an increase in shipments of Twin and Blade solution to HPC customers. On a cost and compute basis, we shipped more high density solution than the prior year. This is reflective of the increase in density which our customers as well as the rest of the industry are driving for. We continue to maintain a diverse revenue base with over 600 customers and all of these customers representing more than 10% of our quarterly revenues. Internet datacenter revenues was 9.5%, which was a decrease from 10.8% in the prior quarter. Furthermore, 56.2% of our revenues came from the U.S. and 56.7% from our distributors and retailers. Slide 9 and 10, non-GAAP gross profit was $46.3 million, up 8.5% from $42.6 million in the same quarter last year, and up 18.3% from $39.1 million sequentially. On a percentage basis, gross margin was 14.4%, down from 15.5% a year ago and up from 14.1%, sequentially. Price changes for Ablecom resulted in no basis points changed to gross profit in the quarter with total purchases representing approximately 17% of total cost of goods sold compared to 22.6% a year ago and 18.7%, sequentially. The year-over-year decrease in gross margin resulted from price changes in hard disk drive since the flood in October of 2011, offsetting part by favorable product mix in the current quarter when compared to the prior year. Sequentially, gross margins were up due to favorable product mix and more complete server solutions and less internet datacenter revenue. In general we have higher margins and complete server solution than the subsystem and accessories. Slide 11, Operating expenses were $31.2 million, up from $30.6 million in the same quarter a year ago and up from $30.8 million sequentially. As a percentage of revenue, operating expenses was 9.7% down from 11.1% year-over-year and up from 11.1% sequentially. Operating expenses was higher on an absolute dollar basis year-over-year and sequentially. We saw year-over-year increases in absolute dollars primarily in R&D as we invested in headcount and materials to drive our innovation in our product portfolio and to increase performance, intensity and power efficiency. Sequentially, operating expenses was up due to higher prototype and material testing fees associated with the rollout of our next-gen Haswell base products. The company's headcount increased by 27 sequentially to 1,595 total employees. We continue to focus on leveraging the investment we have made in our infrastructure while still making strategic investments in our product portfolio. Operating profit was $15.1 million, or 4.7% of revenues up by $3.1 million from $12 million a year ago, and up by $6.8 million from $8.3 million sequentially. Net income was $11.3 million or 3.5% of revenues, up $3.2 million from $8.1 million a year ago, and up $1.3 million from $10 million, sequentially. Our non-GAAP fully diluted EPS was $0.26 per share, up from $0.18 per share a year ago and up from $0.23 per share, sequentially. The number of fully diluted shares used in the fourth quarter was 44,171,000. The tax rate in the fourth quarter on a non-GAAP basis was 24.7% compared to 31.6% a year ago and negative 23.1%, sequentially. The tax rate was lower than last year due to the retroactive reinstatements of the R&D tax credit in January. We expect the effective tax rates on a non-GAAP basis to be approximately 29% for the first quarter, which is down from 31.3% in the same quarter last year. Turning to the balance sheet on a sequential basis, slide 12. Cash and cash equivalent and short and long-term investments were $95.7 million, down one million from $96.7 million in the prior quarter, and up $11.9 million from $83.8 million in the same quarter last year. In the fourth quarter, free cash flow was a negative $0.6 million, primarily due to an increase in accounts receivables to support growth in our revenues. Slide 13, accounts receivable increased by $27 million to $149.3 million and DSO was 38 days, a decrease of one day from 39 days in the prior quarter. Inventories decreased by $3.2 million to $254.2 million with the days in inventory decreasing by 10 days to 84 days. The decrease in inventory was primarily due to record revenues during the fourth quarter. Accounts payable increased by $9.3 million to $172.9 million, with days payables outstanding decreasing by four days to 55 days, primarily due to decrease of inventories in the quarter, as mentioned above. Overall cash conversion cycle days were 67 days, a decrease of seven days from 74 days in the prior quarter. Now, for a few comments on our outlook. As indicated previously, during the fourth quarter we saw a seasonally strong quarter in which we continue to benefit from our energy-efficient and high-density solutions we have pioneered for many years. As we enter the first quarter, we continue to see this growing importance as well as leveraging new technology launches from our partners. However, the first quarter is seasonally a weak quarter for the industry. Therefore, the company currently expects net sales for the quarter ending September 30th, 2013, in the range of $295 million to $315 million. Assuming this revenue range, the company expects non-GAAP earnings per diluted share of approximately $0.17 to $0.23 for the quarter. It is currently expected that the outlook will not be updated until the release of the company's next quarterly earnings announcement. Notwithstanding subsequent developments however, the company may update the outlook or any portion thereof at anytime. With that, let me turn it back to Charles for some closing remarks.
Charles Liang: Thank you, Howard. The first quarter was a record high [indiscernible] with a gross of 16.8% higher year-over-year and which again outpace the industry gross rate. With the new fiscal, we should have strongest product line in our history and our global operation ready for gross. We believe that with these stronger inventions, we will continue our gross trend in fiscal 2014. Operator, at this time we are ready for questions.
Operator: (Operator Instructions) We'll take our next question from Mark Kelleher with Dougherty & Company.
Mark Kelleher –Dougherty & Company : Great, thanks. Congratulations guys, great quarter. I wanted to look at the gross margins. You had a fairly strong server results for the quarter. Of course that carries the higher gross margins. You have got some better utilization going on in the Taiwan manufacturing. You renegotiated some hard disk drive pricing during the quarter. And yet, only had a couple maybe 20 basis points and improvement in gross market, I’m just wondering if you can kind of give the puts and takes on gross margins and remind us what your longer term goal is for gross margins?
Howard Hideshima: Hi Mark, this is Howard and thank you first for the comment. With regards to gross margins puts and takes, again, some of them was still to comparing from sequential basis, you saw basically have a high risk of some of the storage products which typically have a higher cut from the pass through component pieces that kind of weighs in on the overall type of server solutions type of margin. That was probably the biggest item in that particular point because as we indicated we had a pretty strong quarter with regard to our server products, our storage products. With regards to our guidance it is 16% to 18% in the next 9 to 15 months.
Mark Kelleher –Dougherty & Company : Okay. And, just as a follow up question, in terms of the product roadmap that you’re expecting this year as Intel rolls out some new products, can you maybe give us some hints on where your product roadmap is going to go over the next couple of quarters?
Charles Liang: Yes, we have a very strong new product IX already like last month we just launched hot wheel UP product IX and that was a really big product IX and as you may know Intel heavy bridge, we have the official launched released in basically next month. So, we have a complete product IX already for that as well as FatTwin continue to grow, and our MicroCloud also continues to grow rapidly. So, in demo product we are in strongest position in our history.
Mark Kelleher –Dougherty & Company : Okay, great. Thanks.
Charles Liang: Thank you.
Operator: We’ll take our next question from Aaron Rakers with Stifel.
Aaron Rakers – Stifel Nicolaus: Yeah, thank you for taking the questions, you know, first just a clarification or maybe a longer term module input, you’re guiding 29% gross margin for the September quarter, how do we think about the progression, I’m sorry, tax rate, how do we think about the progression of the tax rate beyond the September quarter?
Howard Hideshima: I think, Aaron, we don’t give the full guidance, but if you look back historically, I think you will probably see it within that range we’ve got the RD credit is probably going to expire the latter part of December, but again, we got the Taiwan facility also give me some benefits going forward too. So, first quarter 29% seems like a reasonable rate.
Aaron Rakers – Stifel Nicolaus: Okay. And, what is the current utilization on the Asia facility?
Charles Liang: Indeed they have been improving steadily, last quarter I guess was about 25% and this quarter was about 35% and next quarter I believe will be even better.
Aaron Rakers – Stifel Nicolaus: Okay. And then, also on the internet data center protocol, looks like you’ve declined about 20% the last two quarters on a year-over-year basis, can you talk a little bit about what’s happening in that vertical specifically, have you started to see a increase competition or is there a kind of, you know, inherence lumpiness that we should be thinking about, you know, that kind of snaps back over the next couple of quarters?
Charles Liang: It’s kind of product base, so sometime it’s higher, sometime it’s lower, but with our Asia operation ready now we have much better cost now, so we will be more aggressive in the segment in the near future.
Aaron Rakers – Stifel Nicolaus: Okay. And then, final question for me is on the OEM cost, the direct business that looked – project really strong in the quarter, was that more driven by OEM versus direct, can you just talk about where exactly are you seeing it looks like there is about 22% sequentially, where are you seeing that relative strength on the sequential basis?
Charles Liang: Basically is both, and I would have to say the most influence is the product because we get type of FatTwin, our brand new architectural available at one time ago and that architectural perform the best in term of per watt and in terms of in density, in I/O performance. So because of that strong product line, that’s why we grow both in OEM and kind of direct, big corporate or datacenter.
Aaron Rakers – Stifel Nicolaus: Thank you.
Charles Liang: Thank you.
Operator: And we will go next to Glenn Hanus with Needham.
Glenn Hanus – Needham: Yeah, congrats from me as well. IT bridge timing, you mentioned next month, has that slipped a little bit nominally a couple of weeks or anything or is that pretty much timing the same as you thought it would be a few months back?
Charles Liang: It looks like we’re having same, keep it the same and this time, it looks like our services will be 100% ready. So, we are very optimistic of what we rent.
Glenn Hanus – Needham: Yeah, so real healthy ramp by guessing the December quarter?
Charles Liang: December quarter, I didn't see, most of them we have in December quarter.
Glenn Hanus – Needham: You want to spend a minute on operating expenses. Let’s see, came in at least according to model you came in million or so under what I was expecting, some in sales and marketing, some in G&A, you were a little bit more than I thought in R&D, can you talk about the puts and takes on OpEx this quarter. Did you make some conscious effort to reduce anything? And any color you can give us over the next couple of quarter on OpEx?
Howard Hideshima: Yeah, Glenn, with regards to some puts and takes, I think last quarter we were rolling out some of the hassle solutions as I mentioned there. So, we incurred some more margins, some more cash in material expenses as we are rolling out that product, but we are watching our overall operating expenses and trying to leverage it as best we can. I think we will have some annual increases that happen normally for us on timing basis with the salary increases , but that won't be huge and going forward, I think we are still going to put an eye on that and try to leverage our expenses.
Glenn Hanus – Needham: Did you comment on OpEx below what you might have thought of three months ago? Or is it just my model was expecting too much?
Howard Hideshima: I am not commenting, I don’t know if I can comment on your model, but I think it’s coming in where we’re thinking about with regards to basically, how do I put it, leveraging our expenses.
Glenn Hanus – Needham: So, that our current R&D level in the recent quarter included some one-time taxes of items as we go into December with the IV bridge launch, should we anticipate some incremental R&D there?
Charles Liang: Yes, basically like when we share in last few quarters, we grew indeed about 90 something percent in engineering industry. So pretty much yeah, that can become maybe strong and we do not play into higher, many more people in the near future.
Glenn Hanus – Needham: Okay, all right. Thank you very much.
Operator: (Operator instructions) We’ll go next to Ted Monroe with KCG.
Ted Monroe – KCG: Yes, thank you for taking my question. I was just wondering if you think today’s announcement by IBM and their new OpenPower consortium impacts your businesses at all or are you agnostic to an X86 architecture versus the momentum in maybe ARM-based servers or even this new IBM announcement, and what would be your main concern?
Charles Liang: We opened our eye for all the possibility, but basically we are very concentrated on our expertise, our strengths as well. So X86 for sure will continue to be our main focus. But yes, we opened our eyes for whatever new technology or product line that customer have a demand.
Ted Monroe – KCG: Okay. So would you then design some products around this new potential like IBM opportunity or even what’s going on with ARM line networks?
Charles Liang: Yeah, it is positive, but otherwise our event depends on what customer need.
Ted Monroe – KCG: Sure, okay. Thank you.
Operator: (Operator instructions) At this time we have no further questions, so I’d like to turn the call back over to your speakers for any additional or closing remarks.
Charles Liang: Thank you for joining us today and we look forward to talking to you again at the end of this quarter. Thank you everyone. Have a great day.
Operator: Thank you ladies and gentlemen that does conclude the Super Micro Fourth Quarter and Full Fiscal Year 2013 Conference Call. We do appreciate your participation, you may now disconnect at this time. Thank you.